Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the VICI Properties Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please note that this conference call is being recorded today, February 21, 2025. I'll now turn the call over to Samantha Gallagher, General Counsel with VICI Properties.
Samantha Gallagher: Thank you, Operator, and good morning. Everyone should have access to the company's fourth quarter and full year 2024 earnings release and supplemental information. The release and supplemental information can be found in the investor section of the VICI Properties website, viciproperties.com. Some of our comments today will be forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are usually identified by the use of words such as will, believe, expect, should, guidance, intends, outlook, projects, or other similar phrases and are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Therefore, you should exercise caution in interpreting and relying on them. I refer you to the company's SEC filings for a more detailed discussion of the risks that could impact future operating results and financial condition. During the call, we will discuss certain non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. Reconciliation of these measures to the most directly comparable GAAP measure is available on our website, our fourth quarter and full year 2024 earnings release, our supplemental information, and our other filings with the SEC. For additional information with respect to non-GAAP measures of certain tenants and/or counterparties discussed on this call, please refer to the respective company's public filings with the SEC. Hosting the call today, we have Ed Pitoniak, Chief Executive Officer; John Payne, President and Chief Operating Officer; David Kieske, Chief Financial Officer; Gabe Wasserman, Chief Accounting Officer; and William McCluskey, Senior Vice President of Capital Markets. Ed and team will provide some opening remarks, then we will open the call to questions. With that, I'll turn the call over to Ed.
Ed Pitoniak: Thank you, Samantha. Good morning, everyone. Thanks for joining us. Over the course of the next few minutes leading into our Q&A session, you'll hear from John Payne on our growth activities, and you'll hear from David Kieske on our financial results, financing activities, and initial 2025 earnings guidance. I'll start the call with a few words about the announcement we made Wednesday morning, initiating a new VICI strategic and financial relationship with Cain International and Eldridge Industries through an initial investment in the financing of the One Beverly Hills development. Like most of VICI's growth activities, this VICI investment is a result of our growing and new relationship. This relationship began last May when on a trip to London, I spent time with Jonathan Goldstein, the founding CEO of Cain International, a diversified global real estate development and investment company. By the end of our hour, Jonathan and I agreed that we should find ways to work together. Our urge to work together grew out of the recognition that we share convictions, and we share values. We share conviction in the secular strength for years to come, of experiences. We share cultural and ethical values around partnership. Put another way, the meeting of Cain and VICI is a meeting of minds, and a meeting of ambitions, particularly the shared ambition to invest in differentiated place-based experiences, whether those experiences are entertainment, hospitality, wellness, or sport-based. Excuse me. For those of you not familiar with Cain, which as of year-end 2024 had nearly $18 billion in assets under management, it was founded in 2014 by Jonathan and his partner, Todd Boehly, and it's affiliated with Eldridge Industries, an investment company founded and led by Todd Boehly. Cain and Eldridge have made investments in iconic experiential brands that include Aman, Delano, St. James Sports Clubs, Cirque du Soleil, and Flexjet. Todd is an owner of the Los Angeles Dodgers and the Los Angeles Lakers, and both Todd and Jonathan are owners of Chelsea FC in the English Premier League. As 2024 went by, Jonathan asked if the development at One Beverly Hills might be our first opportunity to work together. These discussions enabled Cain, Eldridge, and VICI to get to know each other better, and over the last few months, we all came to believe that our shared conviction around place-based experiences could yield as many compelling opportunities to work together in the years to come. And that's why, as well as announcing our One Beverly Hills investment on Wednesday, Cain, Eldridge, and VICI also announced our joint signing of a letter of intent expressing our intention to work collaboratively to identify and pursue experiential investment opportunities that meet our respective investment objectives. As you would have seen if you reviewed the investment deck we posted to our website, One Beverly Hills stands to rank among the most compelling American luxury hospitality, retail, and residential developments in recent history. The development is currently rising out of over 17.5 of the best-located acres in Beverly Hills, a triangle bordered by Wilshire Boulevard, Santa Monica Boulevard, and the LA Country Club. This development is centered on the Aman brand, among the world's most venerated luxury hospitality brands. One Beverly Hills will be the largest realization of Aman-branded hospitality, wellness, and living to date with an Aman hotel, an Aman wellness spa, an Aman Club, and two Aman residential towers. The development will also include a full renovation of the legendary Beverly Hilton, longtime host site of the Golden Globes and the Milken Conference, as well as ten acres of botanical gardens and open space with high-end retail and dining offerings. Capital is a key fuel for ambitious placemakers and experience creators. Cain stands among the most ambitious placemakers we have come to know, and yet Cain balances that ambition with what we've seen to be strong capability in development risk management. We believe multi-generational, multinational demand for the differentiated experience within the differentiated place will create abundant opportunities for Cain and Eldridge in the coming decades, and we're excited about the prospect of becoming a long-term partner in their growth. This announcement of our new partnership with Cain and Eldridge represents our first new venture in what we hope will be a year of new investment ventures in both gaming and non-gaming. For more on that, I'll now turn the call over to John.
John Payne: Thanks, Ed, and good morning to everyone. I'll start by reiterating Ed's enthusiasm around the new strategic relationship we formed with Cain and Eldridge. As we said time and time again, deep relationships are at the core of VICI's investment strategy. Through the development of a new relationship with Homefield Kansas City and the strength of existing relationships with Great Wolf and the team from Venetian, we were able to commit approximately $1.1 billion of capital in 2024 at an initial yield of 8.1%. The quality and scale of our existing portfolio also accrues to the value of our platform. Since our last earnings call in early November, the VICI team attended the NAREIT conference in Las Vegas. The conference provided a great opportunity to physically showcase our Las Vegas Strip assets and convey the incredible scale of operation happening at these properties every single day. For example, the Venetian, to which we committed up to $700 million in 2024 through our partner property growth fund strategy, sprawls over 17 million square feet. It is being proactively reimagined across several business verticals, including convention, food and beverage, hotel rooms, gaming floor optimization, entertainment, and more to drive the continued growth of the operating business, as well as capitalize on the Sphere, which sits behind the Venetian. In R.J. Milligan's NAREIT recap note, he observed that, I quote, "With all the events in and around Las Vegas, it was hard to ignore the quality of VICI's real estate, which we don't think the market is giving them enough credit for. It's just so hard to comprehend that VICI was able to purchase the Venetian at the same cap rate as a well-located Dollar General." Well stated, RJ. Las Vegas tourism also continues to hit records. According to the LVCVA, 2024 saw record airline passengers through Harry Reid Airport at 58 million for the year, and visitation to the city increased 2% year-over-year to approximately 42 million. Our operating partners are reinventing experiences at our assets to capitalize on demand. For example, MGM Grand recently announced a $300 million remodel of all of their 4,200 hotel rooms, to be completed in December of 2025, and launched their Palm Tree Beach Club outdoor music and entertainment venue, which will open in May of 2025. Caesars New Orleans just opened following a comprehensive $435 million renovation, and the property hosted many Super Bowl fillers a couple of weeks ago. And in November of last year, Harvey's Lake Tahoe also announced a $100 million all-encompassing transformational project. Just since the fourth quarter, our operators have announced nearly $1 billion of investment in our real estate. That is reflective of our shared conviction around the value of high-quality experiences at high-quality properties. VICI believes that the quality and scale of investment opportunity in our existing properties, as well as our ability to cultivate and maintain deep relationships with our partners, will provide springboards for future growth. Now I will turn the call over to David, who will discuss our financial results and guidance.
David Kieske: Thanks, John. Let's start with our balance sheet. As we begin 2025, seven years after our IPO in 2018, I want to highlight 2024 and reflect on how far our balance sheet has come since going way back to our pre-emergence in the summer of 2017. VICI had total leverage of roughly 10.5 times debt to EBITDA. We were born with a very unnatural balance sheet early on, with short tenure, secured debt, second lien debt, and a $1.6 billion CMBS loan that matured in 2022, all instruments that we knew were not consistent with becoming the blue chip we knew we should and could become. After we emerged in October of 2017, we got to work on fixing our balance sheet. We started to chip away at the second lien notes with our IPO and retired the remaining $498 million in February 2020. In connection with the Eldorado Caesars merger, we retired the CMBS debt. With our acquisition of MGP, we were able to retire all of our remaining secured debt and received an investment-grade credit rating from S&P and Fitch in April of 2022. We were once regular at that time with Moody's. Through the leadership of Aaron Ferri and our team, we put our heads down and worked with Moody's over the next two years to educate them on American gaming, the resiliency of our tenants' business, and the quality of our balance sheet. That work paid off with the Moody's upgrade we received on November 18, 2024, giving us an investment-grade credit rating across all three agencies. The ratings upgrade should accrue to our benefit with improved access to and cost of capital over time. We believe our balance sheet and unsecured debt complex is one of the more liquid debt complexes across the REIT landscape, with total debt of $17.1 billion, of which we have unsecured debt of $14.1 billion. This creates liquidity in our unsecured notes. We saw this in our December refinancing, where we had several new institutional credit investors coming to our offering. The quality of our balance sheet was also highlighted during our recent recast of our unsecured revolving credit facility, which we closed subsequent to quarter-end with a new $2.5 billion facility. We had strong sponsorship from our bank group and want to thank each and every institution that committed to that facility and the conviction they all have in our balance sheet and business. We have approximately $3.3 billion in total liquidity, comprised of approximately $525 million in cash, $176 million of estimated proceeds available under our outstanding forwards, and $2.4 billion of availability under our revolving credit facility. Our net debt to annualized fourth quarter adjusted EBITDA, excluding the impact of unsettled forward equity, is approximately 5.3 times, within our target leverage range of 5 to 5.5 times. We have a weighted average interest rate of 4.41%, taking into account our hedge portfolio, and a weighted average of 6.4 years to maturity. Again, thank you to Aaron and the entire team for the work that has been completed. But know that we are not done, with a continual focus on improving our balance sheet. Touching on the income statement, AFFO per share was $0.57 for the quarter, an increase of 3.6% compared to $0.55 for the quarter ended December 31, 2023. For the full year 2024, AFFO per share was $2.26, an increase of 5.1% compared to $2.15 for the full year 2023. Our results highlight our highly efficient triple net model, given the increase in adjusted EBITDA as a proportion of the corresponding increase in revenue. Our margins continue to run strong in the high 90% range when eliminating non-cash items. Our G&A was $20.7 million for the quarter, and as a percentage of total revenues, was only 2.1%, which continues to be one of the lowest ratios in not only the triple net sector but across all REITs. Turning to guidance, we are initiating AFFO guidance for 2025 in both absolute dollars as well as on a per-share basis. AFFO for the year ending December 31, 2025, is expected to be between $2.485 billion and $2.555 billion, or between $2.32 and $2.35 per diluted common share. With 2025 guidance, VICI expects to deliver year-over-year AFFO per share growth of 3.3%, a very solid starting point as we begin 2025. As a reminder, our guidance does not include the impact of operating results from any transactions that have not closed, interest income from any loans that do not yet have final draw structures, possible future acquisitions or dispositions, capital markets activity, or other non-recurring transactions or items. With that, operator, please open the line for questions.
Operator: Thank you. As a reminder, if you'd like to ask a question, please press star followed by one on the telephone keypad. Our first question for today comes from Anthony Paolone from JPMorgan. Your line is now open. Please go ahead.
Anthony Paolone: Yeah. Thanks, and good morning. I guess my first question is, from our side, we obviously just see the things that you close. But just wondering if you could talk about kinda what deal flow looked like in 2024 and what it looks like currently in contrast to maybe in prior years, you know, whether you're seeing a lot of stuff and it's just not making it past the finish line or you're not seeing as much as you'd like in terms of the outright property purchases. And so any color there would be great.
Ed Pitoniak: Yeah. I'll start, Tony, and then I'll turn it over to John. You know, 2024 for us was a year in which we did not see anything resembling a plentiful flow of compelling high-quality real estate acquisition opportunities. We did see a very compelling opportunity to further invest in one of our marquee properties, the Venetian. And what we also saw is that while high-quality existing assets don't appear to be widely for sale, or at least didn't in 2024, highly compelling high-quality developments were there. And a lot of the work we've done, you know, whether with HomeField at the very beginning of the year, whether our ongoing work with Great Wolf, our ongoing work with Canyon Ranch and Cabot, and now our new work with Cain and Eldridge is about identifying and providing capital to great experiential placemakers and getting very, very good yields on it, especially when comparing those yields to the incredibly high quality of the developments we're helping to fund. And beyond that, I'll turn it over to John. He can give you further color on what we saw in 2024, but maybe more importantly, what we believe we will see in 2025. John?
John Payne: Yes. A little bit, Ed. Tony, good to talk to you this morning. One of the parts of your question was how does it compare to years before. Remember when you started the company, David walked through some of that history. We were simply a casino triple net lease REIT. Today, with Ed's announcement and our announcement the other day, you can see we continue to diversify our portfolio. So the funnel continues to get wider of things that we look at. And I would say the beginning of 2025, I moved as busier than I've been in a very long time. And we continue to be very thoughtful with where we put our capital to work, the type of partners that we want to do business with, the type of growth potential. So that's a long way of saying we're quite busy. The funnel's wide. We're looking at a variety of things in the experiential and the casino gaming space.
Anthony Paolone: Okay. Thanks. And then just a follow-up. Any comments on where you think cash yields would be right now for some of the various buckets that you're looking at, whether it would be, you know, where a high-quality asset on the strip might be versus regional versus some of the other categories?
Ed Pitoniak: Yeah. Not a lot of visibility into that, Tony, on the strip. We haven't seen any meaningful trades recently on the strip. And I think with the volatility that we've seen in the ten-year over, well, what are we now? The last three years, and this year has not really represented a meaningful change from that volatility. I think it's really a little bit hard to get pricing certainty on permanent assets. Whether on the strip. Regional, I think there's been more trading activity, John. So there's probably somewhat more clarity there. Though, again, quality for us is a key consideration.
John Payne: And remember on the strip, Tony, the world's pretty good out there. I'm not sure there's a market that had such great success again in 2024 after following a record of 2023. So operators looking to sell those assets on the strip is not likely at this time because the business continues to be strong across many of the different segments in Las Vegas.
Anthony Paolone: Okay. Thank you.
Operator: Thank you. Our next question comes from Caitlin Burrows of Goldman Sachs. Your line is now open. Please go ahead.
Caitlin Burrows: Hi. Good morning, everyone. Maybe just following up on the development funding talk. Ed, I know you mentioned that when you looked through the opportunities of 2024, it seems like that's what made sense at the time. I guess how do you think of that development funding that eventually gets paid back versus acquisitions and what that means for the future of the portfolio and, like, the recurring nature of income?
Ed Pitoniak: Yeah. No. It's a very good question, Caitlin, and it's one we talk about a lot at the management table at VICI. We, as a starting point, in this particular case with Cain and Eldridge, much has been the case with Great Wolf. We are not overly concerned about the money coming back because of the depth and time extent of the pipeline we believe we could have with Cain. And in this particular case, I obviously need to be careful here, but I do want to say that in the particular case of One Beverly Hills, we are working, we continue to work. Okay. And I should note the money for One Beverly Hills, that $300 million is already going out the door, but we continue to work with Cain as potentially participating in a larger and longer way with One Beverly Hills. But beyond that, to really get to the heart of your question, we see a pipeline of opportunities with Cain across their various verticals. They could enable us to continue to roll our capital into new Cain ventures. When they talk, for example, about the growth opportunity for Aman globally, especially across Europe in the coming decade, we see an opportunity to continue to be a funding partner in that particular example, much in the way David and the team have been now a steady partner to Great Wolf for how long, David?
David Kieske: Five years? Yeah. About five years.
Ed Pitoniak: Right. So we obviously are mindful of the fact that this money will come back to us at some point or could come back to us at some point, Caitlin. But we really do focus on relationships that we think could enable us to continue to basically roll that capital into new manifestations of a given partnership.
Caitlin Burrows: Got it. Okay. Yeah. That makes sense. And then maybe more like a nerdy question. But on the share count, you guys have a lot of forward equity. So can you go through over what time period you're required to settle those shares? Under what condition? Share price are assumed in guidance?
David Kieske: Yeah. Caitlin, as we've done for many years now, we have outstanding forward equity on a quarter-by-quarter and an annual basis. And those contracts are typically one-year contracts, but they are extended and amended to go beyond that initial period of time, and that is very commonplace with banks and with the counterparties. And then in our guidance, in our share count, we use the treasury stock solution method in our making some estimates around reasonable projections around future stock prices and incorporating a level of dilution into our guidance range, but do not obviously take into consideration the entirety of those outstanding forwards because we use those to match funds, potential acquisitions, which are not in our guidance. So this is, you know, very common across the REIT land, and we've been doing it. I know a lot of other triple nets have done it for years.
Ed Pitoniak: And maybe I'll just add to what David said, Caitlin, by emphasizing that the way we did it for 2025 guidance is the way we have always done. Okay. There's been no change in the methodology.
Caitlin Burrows: Got it. Okay. Thanks.
David Kieske: Thanks, Caitlin.
Operator: Thank you. Our next question comes from Barry Jonas of Truist Securities. Line is now open. Please go ahead.
Barry Jonas: Hey, guys. Good morning. In September, you'll have the right to call the Caesars Forum Center at the same cap rate you had on the Indiana properties. Any thoughts you can offer on the puts and takes to exercising that option?
John Payne: Barry, good to talk to you. It's definitely an asset that you're well aware of. They built a great facility there. It anchors the empty acreage that we have in Las Vegas. So we'll continue to see how it's performing when that time comes up. Obviously, it also connects to one of our assets in the Harrah's facility that we own the real estate in the building and then lease it back to Caesars. So definitely on our radar. It's definitely something that we've been looking at over the years, and you're all aware of this opportunity that we could have, and we'll continue to study it in time period as it approaches.
Barry Jonas: Understood. Understood. And then just as a follow-up, you know, I'm not sure you've talked about this before, but, you know, you've obviously operated golf courses. But is there a scenario where you would consider operating casinos or other assets in a TRS?
Ed Pitoniak: Thanks. Well, as the starting point, any casino and Samantha and David helped me out here. Any casino that went into a TRS would have to be a casino with zero, repeat zero, hotel rooms. There is an intricacy or nuance of REIT legislation that would forbid the inclusion of a casino with hotel rooms in a TRS. Beyond that, I would say we don't see that happening. We would not seek to have that happen. I guess it's always a possibility that you we would be silly to rule out a priori with a hundred percent certainty, but not in our plans.
Barry Jonas: Understood. Alright. Thanks, guys.
Operator: Thank you. Our next question comes from Greg McGinnis of Scotiabank. The line is now open. Please go ahead.
Greg McGinnis: Hey. Good morning. Given the nonbinding letter of intent on the new partnership with Cain and Eldridge, how would you describe your competitive positioning relative to other capital providers, especially as they consider more permanent financing options upon completion of that development?
Ed Pitoniak: Yeah. It's a very good question to ask, Greg. I would say that in the case of One Beverly Hills, so, again, we shouldn't rule out anything ever a priori. We do not expect to become a permanent real estate owner of the assets at One Beverly Hills. But having said that, based on the discussions we've already been in with Jonathan Goldstein and with Todd Boehly, we see opportunities to work across a portfolio. For example, in the Cain and Eldridge portfolio, you will see that one of the investments they have is St. James Clubs. And, again, I really emphasize looking at that slide and the wonderful deck that Hayes put together. And St. James Clubs can represent an example of us to further capitalize on the knowledge we've gained through our investment in Chelsea Piers into these kinds of sports and recreation complexes. And absolutely, they will always have the ability to seek other forms, other sources of capital. But I will emphasize that there is a cultural union between or among Cain, Eldridge, and VICI that gives us a lot of confidence that we will always have a chance to be a partner of choice to them as they seek to capitalize the really compelling experiential investments they are making. And I will say, to that regard, Greg. So, Greg, I'll just say to that regard, it was Todd Boehly who proposed, hey, let's do an LOI. I mean, Samantha can explain why in a case like that, you kinda have to make it nonbinding. But it was a sign of Todd's commitment to the partnership.
Greg McGinnis: Okay. Good to hear. I guess thinking about, you know, investing in the assets that you already have. One, curious, you know, is Venetian kind of looking for more of the capital you've potentially committed? And then, you know, MGM guided slightly lower growth CapEx funding for this year. So it does appear they're allocating some funding to MGM Grand. What's your kind of general sense for how CapEx budgets are trending for casinos compared to the last few years, and what might that mean for your investment opportunities with them in Las Vegas and regionally? And then also, how does that compare to the contractually obligated CapEx?
John Payne: Yeah. Very good question. I'll start in Las Vegas. One of the advantages of our portfolio and having such a big presence in that market is the assets are absolutely incredible. Like, in my opening remarks, I talked about Venetian, and I said that it's over 17 million square feet. That's bigger than some companies' whole portfolio, and it's one of our assets in one market. Why I bring that up is that it provides opportunity for us to brainstorm with the operator about how to use our capital to continue to have them grow. And obviously, this past year, we announced the amount of money up to $700 million we've been putting in with the Apollo team into the Venetian. We have those same conversations with our other partners and operators. Obviously, Las Vegas has bigger boxes than the regionals, but we do have conversations with our regional partners about all their opportunities to build hotels, other opportunities to bring casinos that happen to be on riverboats on the land. So you continue to have those discussions. I think there continues to be an excitement about putting new capital into Las Vegas. In fact, there was an article I saw this morning about the Caesars Organization putting over a billion dollars in Las Vegas over the past couple of years. So that should get you and our investors excited about the opportunities that could be presented in that market. But I think 2025 is very similar to what we saw in 2024 and even 2023, that operators continue to reinvent themselves, and they need capital to create new experiences.
Greg McGinnis: Great. Thank you.
Operator: Our next question comes from Rich Hightower of Barclays. Line is now open. Please go ahead.
Rich Hightower: Hey. Good morning, everybody. And congrats again on the new partnership with Cain and Eldridge. Morning, Ed. Let me go back to the guidance really quickly, if you don't mind. David, I think you mentioned in the prepared comments that certain loan fundings are not included in the AFFO number as presented last night. Can you walk us through what precisely, you know, is included, dollars, cadence, timing, etcetera, just so we have a kind of a clear understanding of funding throughout the year as is currently contemplated?
David Kieske: Yeah. Rich, you mean, like, comments or the specific comment was we do not include in guidance any funding or development funding that does not have an identified draw schedule. As we sit here today, you know, we're continuing to fund Great Wolf, we're funding Canyon Ranch Austin, and Cabot Citrus Farms, and it's fifteen, twenty million dollars a month or so of that. You know, with Great Wolf Northeast, we're complete in May of 2025. Canyon Ranch is sometime in 2026. Citrus Farms is working through, you know, later this year, early next year. So there's not a specific number per month because it's all based on the timing of the draws and the amount of draws and then obviously, the installments are completed. You know, we have a construction loan full from the construction loan that's outstanding.
Rich Hightower: Okay. That's actually helpful. And just to be clear, Venetian, you know, PPG funding is kind of separate from that. Is that what's the timing on that one as well? If I have that correct.
David Kieske: Yeah. So we announced that the total commitment of $700 million. They drew $400 million in 2024. And that is all converted to rent and embedded in the lease. Now they have the option, but not the obligation, to draw an incremental $300 million of that significant over time. And they're both in the budgets right now and their plans, and as John talked about putting a lot of new, you may have seen a lot of new restaurants and a lot of new experiences in the Venetian. And so they're working through and when they would draw that incremental $300 million.
Ed Pitoniak: And needless to say, Rich, given that they have not firmly committed to using any of that, none of that.
Rich Hightower: Okay. That's very helpful. And then one last kind of small one, and I think you guys have addressed this on prior calls, but just so you know, we all have it clear. You know, you do see some pretty big swings in, I guess, the change in allowance for credit losses on the income statement. Obviously, a non-cash number, you know, most of the time. We hope there aren't any actual credit losses. But just, David, help us understand the drivers of that quarter-to-quarter swing?
Gabe Wasserman: Yeah. Hey. Gabe Wasserman here. I can take that. So in the fourth quarter, most of the allowance is really driven by Moody's, which is the service provider that we use to help us model out and project future losses. The fourth quarter, their economic scenario, which is a scenario condition and a requirement of the model and the bank are using similar forward projections. They were kind of forecasting, you know, higher for longer interest rates, potential tariffs, and some headwinds economically, and that was going through our projections. That was really the driver of the increase in the allowance in the fourth quarter.
Ed Pitoniak: Which, Gabe, would be another way of saying it is it was more general than specific to any senior credit, more macro as opposed to micro to any of those specific.
Rich Hightower: Perfect. Very helpful. Thank you, guys.
Ed Pitoniak: And, Rich, you get an award, Rich, for asking about CECL.
Rich Hightower: I knew we had addressed CECL on prior calls, but I just think it's been a little while. So, again, appreciate the call. Thanks.
Ed Pitoniak: Hey. Yeah. It has. There you go.
Operator: Next question comes from Jim Kammert of Evercore. Line is now open. Please go ahead.
Jim Kammert: Thank you. Good morning. I know, David, obviously, guidance excludes new capital markets activities, but given the $1.3 billion that's rolling or maturing, I should say, of notes in Q2, how is VICI leaning right now? Repay a part of that or refund? And where what would the cost be?
David Kieske: I think I answered just your question to break it up a little bit. Yeah. We've got a May maturity and June maturity, and we only get in some guidance on those refi's, but we're seeing on a ten-year kinda one twenty, one twenty-five. So spread over the ten-year, which I know it was a four four eight a few, you know, early this morning, but obviously bounces around. So look at mid Yeah. Mid five five and a half to five seven five. Area for a ten-year refinance.
Jim Kammert: Great. Thank you. And then, obviously, early innings with the new relationship, how has his relationship or ownership of Chelsea helped give you a little insight into the tent kind of view as to how those owners and consortiums think about tracking additional capital and opportunity for VICI?
Ed Pitoniak: Well, certainly, you know, in the specific case of Chelsea, one, as is true with so many of the Premier League teams, they're very focused on making sure that they are doing everything they can to maximize game day revenue. And, obviously, maximizing game day revenue involves making sure you have the optimal stadium and to a great degree now increasingly, the right surroundings around the stadium. We've had, I would say, Samantha, very preliminary chats with Todd around their vision for what Chelsea FC can become in terms of its placement in London, but not much more than that.
Jim Kammert: Thank you.
Operator: Our next question comes from Smedes Rose of Citi. Your line is now open. Please go ahead.
Smedes Rose: Hi. Thank you. I just wanted to ask you if maybe you provide any sort of update on the licensing process that seems to be kind of lurching forward in New York for, you know, full-on casinos. And just kind of as part of that, if your MGM property were not selected for a license, does it just remain as a essentially, a slot-only facility, or is there some other change that would take place?
John Payne: Smedes, it's John. I probably should be asking you what you think about the New York process. Look, I think there's news almost every day. We're sitting here in New York altogether. I read an article yesterday about one of the groups that is potentially bidding on the license. It does seem like there's progress being made on all the different steps it takes to win one of the three licenses. It does still seem like they're shooting for a decision at the end of this year, but your guess is as good as mine. Same with the last part of your question you asked about the MGM property at Empire City. We're excited about that group has put together a very, very healthy bid for the full license. I don't know the exact answer to your question. Should they not receive one of the three licenses, how that ultimately plays out with the slot facility, but I think in this whole process plays out with the gaming commissions, how they make their decisions. We'll continue to learn more, but it does seem like there's more progress in Q1 2025 than there has been in a while, but it's hard to determine ultimately when the final stage is.
Smedes Rose: Okay. And then in terms of the ones that really Hills, and maybe this can make any difference in terms of your loan to them. But I just wanted to ask you. I mean, Los Angeles has a lot of luxury retail readily available. It has a lot of housing, and it has a lot of luxury hotels. I guess, you know, from their perspective, you know, what I guess, is giving them confidence that there's incremental demand for, you know, more multimillion-dollar condominiums and more, you know, Chanels and whatnot and just don't know. Maybe that's sort of a dumb question, but I'm just kind of wondering how they're thinking about the demand in fact there.
Ed Pitoniak: Yeah. I think and I'm priming so Samantha. She's gonna need to speak here in a moment because she actually has experience with Aman. I think Smedes, to answer your question, we really have to do all we can to help everyone understand the brand power of Aman. Aman, obviously, is not a public company. There are no Amans within hotel REIT portfolios. But if I were you, I would just do a price check on the rates that Aman gets location by location around the world, because Aman is in a league of its own. Correct, Samantha?
Samantha Gallagher: Yeah. I think just to add to Ed's point, you're talking ultra-high-end luxury. It truly is above and beyond really what you see almost anywhere else in the world, and they've been able to do it in cities throughout the world. And I think that's what they'll bring to Beverly Hills, which I don't think they have up here.
Ed Pitoniak: Yeah. And, you know, it's so much to the credit of the Cain team. They were able to get entitlements and permitting for that 17.5 incomparable acres for incremental hotel supply in Beverly Hills, and some of you may have seen over the course of 2024, that LVMH was unable to get entitlements and permitting for a Cheval Blanc on Rodeo Drive. There is supply there. To your point, Smedes. But, again, I would we will do all we can to help everyone understand the very, very differentiated position of Aman in every market in the world that it operates in.
Smedes Rose: Thank you.
Operator: Thank you. Our next question comes from David Katz of Jefferies. The line is now open. Please go ahead.
David Katz: Thank you. Good morning, everybody. I wanted to ask a little bigger picture question. You know, first, congratulations on your announcement of the new partnership. But in that putting it all in context, the discussion we have, you know, with investors frequently is around, you know, thinking about underwriting the various aspects of your TAM. And, obviously, a deal like this adds to your TAM in some ways. Right. But to an earlier question about the duration of the capital you have out now and how we sort of think about that strategically. Then the, you know, potential expansions embedded in your current portfolio and how we think about underwriting those versus, you know, a new casino partner, you know, to be named later. So to speak. Right. They're across the spectrum, and I'd love to add your just your thoughts and comments around how we, you know, underwrite those or whether it's straight math.
Ed Pitoniak: Yeah. It's a great question, David. And one of the ways in which I'll answer it is that when we think about TAM, we really also think about the I'm trying to come up with an acronym on the spot, and I'm not gonna do it, David. I was gonna say, like, the tar, the total amount of the relationship. That's not very good, is it?
David Katz: Exactly. What I'm getting at is on the quad.
Ed Pitoniak: Yeah. There you go. Thank you, David.
David Katz: Yeah. On the fly.
Ed Pitoniak: I'll do better next time. I promise. When we as we began to get to know Cain and Eldridge, we very quickly developed very high conviction that this has the potential to be a multibillion-dollar relationship over time. We do believe there can be opportunities within that relationship for us to ultimately own permanent real estate. But also the opportunity to continue as a, as my answer to Caitlin indicated, the opportunity to have numerous funding opportunities and thus opportunities to continue to roll our capital behind their initiatives. And so we are very, very focused on widening our TAM without diluting our quality. Our quality of relationship and our quality of investment. And, again, at a time like this, when the gaming deal flow is what it is, we believe we serve our stockholders very well by developing these kinds of relationships to give our stockholders participation in what we think is some of the most compelling placemaking taking place right now.
David Katz: Okay. Thank you. Appreciate it.
Operator: Thank you, David. Our next question comes from John Kilichowski of Wells Fargo. Your line is now open. Please go ahead.
John Kilichowski: Thank you. Good morning. Maybe if I could just circle back on that last comment, Ed. You said that, you know, eventually owning some of the real estate in these deals with Cain and Eldridge could you specify specifically maybe what types of real estate you'd be looking to own here? Obviously, in this project, it's multi-use. We have the hotel, the residences, the retail, the food, and beverage. Just curious what you would be owning versus not owning.
Ed Pitoniak: Yeah. And just to be clear, and as I indicated earlier in my remarks, we are not optimistic that we would eventually own any real estate within One Beverly Hills. This is real estate that if it if and when it trades, it will trade at stratospheric values. And, also, is real estate of a nature that doesn't exactly fit our investment criteria, which obviously mainly involves net lease. But beyond that, as you look across the Eldridge Cain portfolio, I think you will see, again, citing that really good slide in the deck, businesses current businesses within Cain and Eldridge that involve real estate. It's very, very much resembles real estate that we already own, and I would cite the example of Chelsea Piers as the type of real estate we already own and are very excited to continue to invest in.
John Payne: I have one thing to add to that as well. Creating partnerships like we have with Cain and Eldridge also opens other potential partners that are around the world that are seeing what we are doing with our capital to help other experiential companies grow. I mean, we've just made this announcement, and there are folks that are reaching out saying, hey, very interesting way that you are getting involved with that project. We'd like to talk to you about x, y, and z. So don't underestimate that as we continue to build these world-class developers and partners that it also opens new ones for us and doesn't keep us as, hey, you're just that gaming REIT, which we love casino gaming, but it really is open to funnel for conversations about other opportunities for us around the world.
Ed Pitoniak: Yeah. And I just want to build on what John is saying too that there's actually another dimension of partnership in what we've just announced. And though it may not have been visible in our releases, this marks the fourth time in which we will have partnered with JPMorgan in participating working together on a capital structure for a very compelling development. And, you know, as you all know, we are a very small team. We have over 25% of the company sitting at this table, and that's seven people. And so we are always very focused on opportunities to force multiply what we are able to achieve at VICI. And we're really, really appreciative of the partnership that David and his team have formed with Brian Baker and his team at JPMorgan when it comes to identifying opportunities to work together and put our capital to work in opportunities that might not have otherwise been available to us.
John Kilichowski: Got it. I appreciate that. And then, you know, maybe jumping back to one of the first comments you made today was just on the pipeline really picking up. And I'm curious on the other side of that equation, how has the competitive landscape changed? I feel like across most of our earnings discussions this quarter, we've heard competition has certainly spiked on the private side. I'm curious if you're seeing the same.
John Payne: It's been the same since we started the company. You know? This is a space, particularly the casino space, where there's a lot of interest. There's great operators. There's great real estate. Buildings perform like no other in the experiential sector. So as we look at any opportunity, we go in with our eyes open if there's others that are looking at this, and that's why we pride ourselves on building deep relationships, strengthening the ties, and growing the company in that fashion. So I wouldn't say we'd see an increase in competition. I'd say it's always been there, and we want to continue to be out there as well.
John Kilichowski: Got it. Thank you.
Operator: Our next question comes from John DeCree of CBRE. Your line is now open. Please go ahead.
John DeCree: Hey, everyone. Took a lot of ground, but maybe got two more. One on the casino M&A environment. I think we discussed it a little bit earlier, pointing to the volatility in the ten-year, but, you know, Ed or John or David, curious if you have any thoughts as to what else is kind of influencing, like I said, I would say, the lack of M&A in the space, whether it involves real estate or not. It seems like it's, you know, still kinda quiet. So curious if you kinda see any other factors in there that are, you know, maybe causing that.
John Payne: I don't think John's nice to talk to him. You hit on a few. Again, in my remarks earlier while I was answering one question, I just talked about Las Vegas. And if you're an operator in Las Vegas and you're performing the way you're performing, you have to say, well, where else would I like to operate? And you land on, I'd rather own this asset. I can continue to invest in it. There are new customers coming through my door every day. And I'm gonna just make this a better place. I mean, the results that you saw out of Las Vegas, I mean, Wynn's results were incredible. We saw there's incredible results coming out of the buildings that we own. So, John, I don't see a lot of trading in Las Vegas at the time. It comes to the regionals, I think it's just a matter of they like operating those businesses right now. There could be some trades over time. And if so, we will see if there's an opportunity for us.
Ed Pitoniak: And, John, I'll just add to that, because I think when it comes to regional gaming, you know, we're in a period where investing in regional gaming has to be done with precision, market by market, asset by asset. We're obviously seeing supply growth across much of the US regional landscape. And I think if you're going to invest incremental capital in regional gaming, you want to be highly aware of new competition and new supply and what that would mean for same-store sales and existing assets. So, again, it's not solely a case of, well, what's available. It's also a case of, well, what do you really want to own? Again, we are very much in this for the long term. And thus, we are going to be, by nature, selective.
John DeCree: Thanks, John. That's helpful. Maybe one more on the discussion of Aman hotels as a good example. You know, a lot of those ultra-high-end international hotels. I'm curious your thoughts on how you think about expanding a bit more internationally. Obviously, there's some in Canada, but, you know, would you go overseas? Kind of in an investment or lending capacity, like, you've done in California recently. So opportunities where maybe not real estate ownership, but, you know, M&A or however else you would structure it in some international markets or something like that on the table. How kinda far have you explored those kinds of lending in international market opportunities?
Samantha Gallagher: Yeah. So we definitely would, and we actually do have some lending activity in the UK, in Scotland, right now, with Cabot. And we've done our internal team has done a lot of work around really mapping the world and where we can invest both from a lending perspective as well as an acquisition perspective, understanding any tax leakage and really looking at what jurisdictions would be most compelling for us so that when we look at our TAM, we're really knowledgeable about it. So the answer to that question is yes. We absolutely can and would have.
John DeCree: Thank you very much.
Operator: Thanks, John. Our next question comes from Chris Darling of Green Street. Line's now open. Please go ahead.
Chris Darling: Thanks. Good morning. Question on the gaming side. Seems like there's been a lot more capital flowing into the historic horse racing segment of the market. A couple of projects, I think, have been announced in New Hampshire. Is this a segment of the market that's interesting to you, and how would you think about sort of the opportunities and risks involved?
John Payne: Chris, nice to speak to you. Yes. If you're asking, would we make an investment into a racetrack, particularly, most of these investments are adding some form of new gambling to that investment. So whether it's historical racing machines that are being added in certain markets, other markets are adding just simple class three slot machines and some, as we heard today, talking about Empire City, the ability to turn a casino into a full-fledged casino. So to answer your question, they're all areas that we would have interest in placing investments if we have the right partners, if we have the right structure along the way. So we continue to study the markets that you mentioned, and other markets that could, as Ed mentioned, there could be some new markets that open up over time, and we'd be interested in those as well.
Chris Darling: Alright. Fair enough. And then just one more quickly for me. Curious if you could walk through the rationales from a pure gaming standpoint to sell the Canadian operations to IGP. And then I think it'd be helpful as well to understand a little bit more about who IGP is, kinda their scale, where they own, future ambitions, anything that you could add.
John Payne: Yeah. We were very excited. We had a great relationship with the management team and the owners of Pure. But we are excited to form our new relationship with a few tribes that have come together to form this group. We're learning more about their interest, their capacity to grow their business. That was one of the things that we were excited about, not only them acquiring the operations of the assets we own in Canada, but also our ability to continue to partner not only in Canada, but there could be opportunities all over the world. So the more we learn about each other, this is our first opportunity to work together, the more I think you'll see us grow with them over time should the right opportunities come about.
Ed Pitoniak: And, Chris, just to make sure I understood your question clearly, I want to clarify that we didn't sell anything. The prior owner of Pure, Onex, a Toronto-based PE firm, sold the OpCo to IGP. And not only are we excited about IGP being our new partner on the Alberta assets, it also signifies that OpCos are marketable. That there are buyers for OpCos, which I think there has been some questioning around, but this is a clear example of gaming OpCos and OpCos having value.
Chris Darling: Got it. And yeah, that point was understood, Ed, but I appreciate the clarification. That's all for me. So thanks for the time.
Operator: Thank you, Chris. At this time, I'll turn the call back to Ed Pitoniak for any further remarks.
Ed Pitoniak: Thanks, Alex. And thanks to all of you. We know many of you have another call coming up here just momentarily. So wish you the best and thanks again for attending this morning. Bye for now.
Operator: Thank you all for joining. You may now disconnect your lines.